Operator: Good day and welcome to the DTE Energy Third Quarter Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to David Meador. Please go ahead, sir.
David E. Meador - Executive Vice President and Chief Financial Officer: Thank you, Michelle and good morning everybody. And welcome to our third quarter call and I apologize for the music that was on the queue there. We just left... orchestrate our music a little bit better there. Before we get started, I encourage you to read the Safe Harbor statement on page two, including the reference to forward-looking statements. In a little over a week we'll be at EEI and our Chairmen Tony Earley will be joining us at this event and we will be making a presentation on Tuesday morning. Given our full schedule in Arizona, today we would like to keep the call focused on the third quarter and 2008 earnings, but of course we are happy to take all of your questions at the end of the call. With me this morning are Peter Oleksiak, our Vice President and Controller; Nick Khouri, our Vice President and Treasurer; and Lisa Muschong, our Director of Investor Relations. I also have members of the management team on hand to help in Q&A if needed and I might call on them. So let me start here on page five. We believe when taking into account the recent market and economic events, that DTE Energy is a very attractive investment. We have a very strong regulated growth plan that is based on predominantly compliance driven capital spending. Our long-term growth rate is projected to be in the 5% to 6% range. Michigan's recently passed energy legislation it provides a very constructive regulatory environment and eventually will enable billions of dollars to be invested in renewable energy in the State of Michigan which will create jobs. It will help the local economy and it will allow us to provide reliable low cost energy to our customers. Over the next six months, we will work through the renewable energy process with the MPSC and we expect to make our renewable energy and energy optimization filings with the commission in the first quarter of 2009. And we will go into more detail on the RPS and energy optimization timelines and details when we are at EEI. To enable this growth and maximize the value of this recent energy legislation, we're going to continue to focus on constructive regulatory relationships, strong customer satisfaction and a continued focus on cost reductions and capital efficiency. For our non-utility businesses, we continue our track record of delivering value for our shareholders by making select investments where we see a clear path to returns that are premium to utility return. And then last our dividend is currently $2.12 per share which is about a 6% yield given recent stock prices. We believe the growth plan that we've laid out is achievable and when combined with this dividend provides a very attractive total shareholder return. Now let me turn to slide six. As I mentioned a few moments ago after months of hard work, the energy legislation was passed in Michigan and signed by the Governor this fall. This legislation significantly strengthens our regulatory framework. Especially, at a time of weak economic conditions and higher capital spending, compared to historical capital levels. Tony Earley will go into more detail on this significant achievement at EEI. We continue to commit to grow the bottom-line, but at same time; we're going to maintain a strong balance sheet and solid liquidity. This has always been a north star in our growth plan and recent events have made this even more important. Nick Khouri will take you through the details, but we believe we're in solid footing in our current credit metrics so liquidity and our needs to access the debt to capital markets next year. As you know, we initiated a cost reduction program in 2005. And between 2006 and this year, we've driven over $300 million in both O&M and capital savings. So given the way events have played out, it was very timely that we initiated that program in 2005. This year, when you think about the economy and load, we've started the year out assuming kind of conservatively a flat load at Detroit Edison's and starting in the spring, we started to see electric margins decline slightly. And we intensified our cost reduction efforts around that. In regard to cost reduction efforts we are not done and we have reenergized our company wide continuous improvement process. And we are looking at operational and customer satisfaction improvements. Now with the national economy behaving more like the Michigan economy, our case for change is even greater. We need to re-look at everything we do as a way to help reduce rate impacts on our customers and to create as much headroom as possible in the rate making process. If we go to the quarter, I would describe it as a very solid quarter. Peter will take you through the results. We have increased our operating earnings both for the quarter and year-to-date compared to last year, while proactively managing some of the challenges that we faced during the year even with the economic environment and the need for a rate increase at Detroit Edison which we are hopeful will be completed by the end of the year, we are maintaining our guidance for the year of $2.80 to $3.20 a share. Through the nine months this year we have earned over $2 of that goal. We have been thrown some challenges this year, but the employees of DTE Energy have stepped up and helped to offset some of these unforeseen events through continued and one-time cost reductions. While we are maintaining our guidance we don't see us either at the high end of that guidance or at a low end and we are aiming to be solidly in the middle of the range that we provided. We know you are interested in 2009 and the impacts of the credit and economic environment on the company. And we plan on providing guidance early next year since relating on several critical data points. One of those is the Detroit Edison rate case that I mentioned. We expect that to ramp up by the end of the year and another data point is the second base gas sale proceeding for MichCon that's currently under way. In addition, we are watching the economy and the electric growth. We have some information in the appendix for you on the electric growth by customer class and moving ahead you will know about the trends that we are seeing by year end. For both utilities, it's important to remind you that we have now the new filing implement rate proceedings that was provided for in the legislation. It also in the legislation includes the ability to use a forward-looking test here when we make our filings. We anticipate filing a Detroit Edison rate case early next year. And we could self implement some portion of those rates in mid-year. This counts first base gas settlement agreement last year keeps aside of the rate case filing until January 2009. And we expect rates going to... in effect for MichCon in early 2010. And then, similar to the electric company, you would see us most likely file another rate case in 2010 with the ability to self implement portions of that rate increase in mid-year 2010. When you think about a load exposure on a temperature normal basis we are down 1% year-to-date, 2% for the quarter, when you look the year-over-year load. Peter will talk more about this, but I just wanted to size some people are thinking about the potential for further decreases in load going forward. For example, if we lost another 1% of load next year given the file and implement structure that is now placed this would result in about six months of exposure. So if you think about 1% equating to 500 gigawatt hours and $30 million pre-tax and with the file and implement structure in place, we really think about six months exposure which will be about half of that and which will be 250 gigawatts, $15 million pre-tax if we had another 1% load decline. For our non-utility businesses the diversity in those businesses has worked well in the past and the businesses are having a great year this year. These businesses don't face many of the challenges of the utilities and they have contracts in place in many cases for storage, gas transportation, services that we provide and also of further uptakes. We ascertain the broader economic impact on these businesses, but we still believe that we can deliver at the low end of our earnings for 2009 and our previous outlook that we provided. As with the utilities, you'll know more about the non-utility group by year end and we will provide detailed guidance after the first year. But we believe this is going to be an ongoing positive story for DTE Energy. In regard to capital spending, I just want to make a comment here. For our capital, we have to think about three distinct categories. First, going forward which will start late next year and into 2010 and beyond, we will have spending on renewable energy. But renewable energy will have a dedicated revenue stream as provided for in this legislation. Our spending plan for renewable energy will be outlined in our RPS filing that we expect to make early next year. And beyond that if you think about the other categories of capital we have, the environmental capital that I will describe, there is compliance capital and then the last category of capital is the base maintenance capital to utilities and then the non-utility growth capital. For environmental and base capital, we are currently designing our plan for next year with a lot of flexibility and I think that's going to be a theme for 2009 as flexibility. Our current thinking is that over a long-term the utility capital must be spent to safe and maintain safe, reliable and efficient utilities. In the near-term, if needed there is significant flexibility in both the base utility capital and the non-utility growth capital. We currently are anticipating levels of capital for next year that will be very similar to capital that we are spending this year and the details for this year is on page 25. But again that we will be designing next year's plan with significant flexibility as we watch developer economy and the credit markets. When we provide guidance early next year while our line of capital spending plans in detail including giving you some of our thoughts in how we are going to possibly back end load capital spending and make sure that we design our capital plan to give us maximum flexibility given the current economy and credit conditions in the marketplace. So with the opening comments and let me turn it over to Peter, and he'll take you through the quarterly results.
Peter B. Oleksiak - Vice President, Controller: Thanks, Dave. Good morning to everyone. I'll just turn over to page eight which is the standard supplied on the quarter results. For the quarter DTE's operating earnings per share was $1.06. Like to remind everyone that our reconciliation to GAAP reported earnings is contained in the appendix. Detroit Edison contributed $0.98 while MichCon was typically had a loss in the third quarter came in a loss of $0.08. The non-utility segments combined to current $0.34. The primary driver to the non-utility quarter results was Power and Industrial Projects at $0.15, Energy Trading at $0.10 and Gas Midstream segment at $0.07 in the quarter. Moving on to page nine, where we show a summary of each segment's performance quarter-over-quarter. I'll be covering each segment in more detail later in the presentation. Overall operating earnings were up $37 million for the quarter, Detriot Edison and MichCon results are... they combined $54 million from the prior year. Our non-utility segments are down collectively $7 million. Our Power and Industrial Projects were up $17 million driven by higher coke margins while Energy Trading was down $28 million due to lower accounting margins quarter-over-quarter. Our trading company has strong year-to-date earnings and is on track to hit our 2008 guidance. I'll talk more about the trading company later in the presentation. Our corporate and other segment was down $10 million due primarily to Power and Industrial segment true-up related to synfuel proceeds. On page 10 is our year-to-date summary of our earnings performance. Overall year-to-date September's operating earnings are up $4 million from prior year. Detroit Edison's earnings are up $23million driven mainly by O&M reductions. Energy Trading earnings are down year-over-year with earnings of $54 million this time last year compared to $37 million to the third quarter of this year. Let us continue on to slide 11, and go through some quarterly details beginning with Detroit Edison. Operating earnings in the quarter for Detroit Edison was a $159 million, up $45 million from the prior year. Margin increased earnings a $11 million as the expiration of the temporary show cause rate reduction and lower customer choice more than offset the reduction in sales due to the economy. The quarter results were also up by the elimination of computer system start-up costs incurred in 2007. Cost improvements in our generation fleet and lower benefit costs also aided the quarter results. The 12 month rolling operating ROE for Edison, it's 10.5%. Page 12, our volumes year-over-year electric sales for the third quarter and year-to-date. We continue to see softening of sales in our service territory. Temperature normal sales were down over 2% for the quarter and are down over 1% year-to-date. We are forecasting an average drop in sales in the fourth quarter and will most likely be down close to 2% for the year. Originally planned our flat sales as Dave mentioned earlier for 2008, but earlier in year we forecasted a 1% to 2% of sales drops this year. Actions have been taken throughout most of the year to reduce our cost structure to be in line with the lower volume of sales. Moving on to page 13 in review of MichCon's performance. As I mentioned earlier that third quarter is typically a loss for the seasonal Gas Utility business, operating earnings for MichCon was a loss of $13 million down $9 million from the prior year. Somewhere the Detroit Edison and MichCon also benefit from the elimination of the 2007 computer systems start-up cost and lower benefit costs. The 12 month rolling operating ROE from MichCon is 10%. Let us turn to page 14, in the Non-utility business segment. Total non-utility operating earnings for the third quarter 2008 are $57 million compared to $64 million in 2007. Gas Midstream earnings are up slightly in 2008 driven by increased stores revenue. Power and Industrial earnings are up $17 million in the quarter due primarily to higher coke revenues, due to higher production and higher profit margin on this production. The segment also benefit from our holding company true-up related to synfuel proceeds as well as some one-time expenses incurred in 2007 are due in the amounts of Asian effort. Unconventional gas earnings also improved as higher gas and oil prices more than offset the loss earnings from the sale the core Barnett properties. Finally, Energy Trading earnings of $17 million are down $28 million for the quarter. As you can see trading in third quarter of 2007 accounting earnings was $45 million which was a significant portion of last year's total year earnings for that segment. Page 15 provides details of our earnings guidance for 2008, as Dave mentioned earlier, we continue to hold our 2008 guidance to $455 million to $520 million of operating earnings or EPS of $3.20 per share. Given the solid year-to-date results we are on track to deliver our earnings commitment. And as mentioned earlier, we continue to focus on cost reductions at our utilities in response to the soft local economy. With that, I'd like to turn the discussion over to Nick Khouri, who'll cover cash flow and capital expenditures.
Nick A. Khouri - Vice President and Treasurer: Thanks, Peter and good morning everyone. As we all know these are times of unusual stress in the credit and equity markets, but it's in time like, times like these that our prior commitment to improved cash flow and balance sheet strength pays real dividends. We have managed both short-term liquidity and our long-term debt and equity targets to weather the current storms. Page 17 details our current short-term liquidity position. We have total bank credit facilities of $1.9 billion, supporting our commercial paper program. And something unusual for us, we are temporarily holding over $200 million of cash on hand to meet both daily operating requirements and unexpected needs. In late September and early October, we grew down $400 million of credit line through a source of flexibility in case the CP market scenario open. We also have approximately $500 million of commercial paper outstanding for staggered maturities. Finally, the bank credit lines. We've issued $286 million of credit.. Letters of Credit to support our business operations. Leaving unused, available liquidity of nearly $1 billion. It's also important to note that we have no bond maturities for the remainder of this year and then moving to 2009, $220 million of debt is maturing at DTE Energy; but the plan calls for us to retire the debt with internal cash. Of course we expect to issue long-term debt at the utilities from time-to-time to improve liquidity and fund our utility investment program, but we have no maturities at the utilities in 2009. Our post, the credit crunch has focused on four main components. A thorough understanding of our near-term cash requirements including scenario planning, daily monitoring of our counterparty credit risk exposure across all DTE's business units, retain excess liquidity to meet changing circumstances and access the bond market when possible. For example, on October, we issued $250 million of five-year debt at Detroit Edison with a 6.45% yield. Early on September, we issued a $190 million of Michigan debt with seven and 12-year maturities at around 6%. Page 18, shows year-to-date consolidated cash flow statement for 2008 compared to the prior year. From September, adjusted cash from operations totaled approximately $700 million, down from about a $1 billion in the prior year. The entire decline is a result of the phase out of synfuel net cash which falls from $600 million last year, to approximately a $100 million this year. In other words non-synfuel cash was up year-over-year. Asset sales are down year-over-year since in 2007 we included the sales of DTE and from E&P Properties. Consistent with prior intra-year patterns, we expect strong cash... positive net cash from the utilities in the fourth quarter. The full year forecast for cash flow has not changed from prior guidance and is detailed in the appendix. Page 19 summarizes capital spending for the first nine months of 2008. As you can see, total capital spending reached $1.071 billion or about 11% of last year. The year-over-year increase was spread across all business units. For the full year, we expect capital spending to be up about 14% from 2007 including a 20% increase at Detroit Edison. And finally, we expect to end this year within our leverage target of 50% to 52% in the ratio of cash flow to debt between 20% and 22%. With that let me turn it back over to Dave to wrap up.
David E. Meador - Executive Vice President and Chief Financial Officer: Thanks, Nick. And let me wrap up on slide 20. As I mentioned earlier on the call I believe that DTE Energy is a very attractive investment. Our business plan is on track and we have the needed flexibility to work around the current economic and credit situation. As I also commented looking back into history here a little bit jumping into our cost reduction initiative starting in 2005 and building up our capacity around that and keeping our balance sheet strong has just proved out to be very wise as we weather the current situation. The new legislation in Michigan provides a very constructive framework to help our utilities to earn their authorized return, but at the same time providing reliable low cost energy and providing much needed jobs in Michigan. Our non-utility business plan is also on track and here we also have significant amount of flexibility if needed going forward. As Nick laid out we believe our credit metrics are solid and our liquidity is more than sufficient with enough flexibility to work through the current environment. We continue to monitor and assess the economic and credit situation to make the appropriate adjustments going forward as required and our dividend at $2.12 per share is a healthy payout and when put together with our projected growth rate provides a very nice total shareholder return. And with those comments we will now, Michelle open it up for Q&A. Question And Answer
Operator: Thank you. [Operator Instructions]. Please stand by for your first question. Your first question comes from Greg Gorden please go ahead.
Gregory Gordon - Citigroup: Good morning.
David E. Meador - Executive Vice President and Chief Financial Officer: Good morning, Greg.
Peter B. Oleksiak - Vice President, Controller: Good morning.
Gregory Gordon - Citigroup: So while you are not at this point willing to reiterate and also express your 2009 guidance, Dave in your comments and correct me if I am wrong that as you see it now the low end of the previous guidance range is at least achievable under current economic conditions?
David E. Meador - Executive Vice President and Chief Financial Officer: That comment was in regard to the non-utility businesses in particular.
Gregory Gordon - Citigroup: Okay.
David E. Meador - Executive Vice President and Chief Financial Officer: And then on the two utilities, we saw our overall goal of earnings our authorized return at the utilities and then as you know we've always targeted 11%. Right now, we have the Detroit Edison rate case pending and we'll... we are very optimistic that will work out well, that will play out by the end of the year. And then for MichCon, we've got the second base gas proceeding that's underway. And we're also hopeful that we can go into a settlement process with them and have that... get resolved by year-end. And those data two points will be very helpful in providing guidance for the utilities.
Gregory Gordon - Citigroup: Thank you. When it comes to the utilities for 2009, can you talk about both the potential for cash pension, funding needs as it pertains to liquidity and expected cash needs and also talk about whether there would be any increase in FAS 87 expense and how that's recovered in the rate making process?
David E. Meador - Executive Vice President and Chief Financial Officer: Sure, I'll ask Nick to comment on what's going on with the pensions and how it works for both cash and earnings here.
Nick A. Khouri - Vice President and Treasurer: Sure, let me give you a couple of points and see if this answers your question. Just for background, we have about $3.5 billion in our defined benefit plans for both Detroit Edison and MichCon, and the one thing to keep in mind is we came into this year fully funded. Detroit Edison was 100% funded and MichCon for a variety of reasons was actually 125% funded when you talk about the risk of funding requirements. So we came in a really good shape. Now certainly, the returns this year have been poor like if you place us through September, our pension returns... through the end of September our pension fund is down about 15% and obviously down more in October. But having said that we have been contributing nearly every year for the past three or four years into the pension fund somewhere between a $150 million and $180 million. And in our plans we have always had regular annual pension fund contributions of about the same amount. So with the current market decline, we may have some additional increase spending from the plan but we'll just have to wait and see how things shake out. But again we are starting from a strong position and we've always had continued funding going forward. On the expense side, expense, we will have to see how it plays out because obviously returns are down this year, but what's critically important for that expense determination is a discount rate used and that's up. We will have to see how that plays out, but certainly the risks are slightly higher expense than what we had in '08, and '09. But remember the way this works now, as Dave said with the new regulatory structure, we will file early for any increase in expense at Detroit Edison and by mid-year we'll be able to at least have the potential of recovering that expense in the rate case and in the self implementation.
Gregory Gordon - Citigroup: Okay. So between rate cases there is no sort of tracking a deferral mechanism, but you plan on filling in a more timely manner and so the lag should be diminished if the expense is above and beyond what's currently in rates?
David E. Meador - Executive Vice President and Chief Financial Officer: That's correct. The pension assumptions you get measured at year-end that then determines your expense for the next year. So its hard to predict this precisely but if you are drawing a chalk line today we have a loss as everyone does in our assets at that gets amortized into expense over three years. Offsetting that if you had a chalk line pull today it could be at the discount rate that. So the way this might play out for the expense is you actually have minimal increase in expense and any increase in expense we will then immediately file our rate case and could self implement those portion of rates mid-year, next year.
Gregory Gordon - Citigroup: And so you take the actuarial loss you offset it with the reduction in the PBO [ph] and you amortize that over three years?
David E. Meador - Executive Vice President and Chief Financial Officer: Yes, on the asset side that's correct.
Gregory Gordon - Citigroup: Okay, great. Final question you talk a little bit about how you think about Detroit Edison's strategic decision to remain in the Electricity and Gas Trading business given the stresses in the financial markets and investors sort of decreased the appetite for ownership of companies that maintain those types of exposures?
David E. Meador - Executive Vice President and Chief Financial Officer: Sure, I'd like to step back, first of all and say that, after 11 years now, we've had business here. That's not a big part of our growth story or our earnings. We make $40 million to $50 million on average and accounting earnings from our trading company. We manage it very tightly. And so you see a business here that has very low bar, current bars, $3 million. And as we go through these storms, I think we also see situations here as an example that the business continues to do well this year, their economic profit is very high, their accounting net income is going to be as Peter laid out within our previous guidance. And we are comfortable with this business as we have managed it, we don't see it as a being a big part of our growth story going forward. But it has provided very steady net income numbers for us and positive cash flows for us. As we went through this whole process here what you saw is for example, no counterparty defaults, no financial institution counterparty defaults. And it's a business that we manage very tightly and we believe it has a much lower risk profile than what others might have in regards to their energy trading company. So right now we do not have any plans to change our strategy or approach even with the tightening credit market. We believe that our liquidity can support maintaining the trading company as it's designed and operating today.
Gregory Gordon - Citigroup: Thank you.
Operator: Thank you. Your next question comes from Timese Lee [ph]. Please go ahead.
Unidentified Analyst: Good morning. I am just trying to get a better sense of the one-time cost cuts and the sustainability of them and what's the fourth quarter outlook for cost?
David E. Meador - Executive Vice President and Chief Financial Officer: Well let me backup first of all and describe the nature of what's happening here. We've got two efforts that are going on in regards to cost we have continuous improvement initiatives that's basically as I would describe always trying to look at ways to drive out ways and get more efficient. So in continuous improvement for example, and field operations its all about getting people out of the station as quick as possible, minimizing drive time and optimizing that with new GPS technology when people get to the job trying to drive productivity and making sure that they have the right tools and equipment and materials to get their job done as quickly as possible. In the end of the day you're getting more jobs done per employee, and everything that they do whether be in the power plants or field operations or in my accounting group, and we're doing that across the company. In addition, to that because of some of the pressures this year, we've done one-time cost reductions and examples of that would be as stopping hiring, slowing down hiring, minimizing overtime, general belt tightening that you would expect in this type of environment. We've stopped using consultants, we've let a lot of contract labor go and we basically have asked everybody to be very prudent in this environment, and also sensitive to, what's going on in our customer base. So I know when people are looking at O&M, we had a spike last year because of the computer system we've... that's gone this year. We have got continuous improvement and we also have one-time reductions and people are trying to get a sense on what is going on with O&M. And I think the best place to look with BNR [ph] Detroit Edison filing that was made now with give you a sense of where we see O&M going for 2009 and obviously we will give you a much more guidance after the first of the year. But if you're trying to get a sense on what's the normalized run-rate for O&M look at the Detroit Edison filing would be the best place to look.
Unidentified Analyst: Okay. And then have you given the discount assumed, discount rate in the pension expense? Do you assume the pension discount rate... it assumed discount rate in the pension benefit obligation?
Nick A. Khouri - Vice President and Treasurer: Yes. We do at the end in the case each year, so it would be end of last year we used 6.5%.
Unidentified Analyst: Thank you.
Nick A. Khouri - Vice President and Treasurer: And as Dave mentioned, it's actually a calculation it's done on a single day December 31st. So we don't know what this years is, but today it would be higher than 6.5%.
Unidentified Analyst: Okay. Thanks.
Operator: Thank you. [Operator Instructions].
David E. Meador - Executive Vice President and Chief Financial Officer: Well seeing that there aren't any more questions at this time. I thank you for calling in today. If you have a follow-up questions I encourage you to call the Investor Relations department, if you have questions on the quarter or the year and then we look forward to seeing everybody out at Arizona we have a full schedule. And as I mentioned Tony and I will be presenting on Tuesday morning and we look forward to seeing you then. Thanks.
Operator: Ladies and gentlemen, this concludes the conference call for today. You may now disconnect your line and have a great day. .